Operator: Hosting today's call is Yigal Zamir, our president and CEO, and Ehud Ben Yair, our CFO. Before getting started, we would like to draw your attention to the fact that certain matters discussed on this call today may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other provisions of the federal securities laws. These forward-looking statements are based on management's current expectations and are not guarantees of future performance. Actual results could differ materially from those expressed in or implied by these forward-looking statements. The forward-looking statements are made as of the date of this call, and except as required by law, TAT Technologies Ltd. assumes no obligation to update or revise them. Investors are cautioned not to place undue reliance on these forward-looking statements. For a more detailed discussion of how these and other risks and uncertainties could cause TAT's actual results to differ materially from those indicated in these forward-looking statements, please see our annual report on Form 20-F for the fiscal year ended December 31, 2024, and other filings we may make with the SEC. The financial measures discussed today include non-GAAP measures. We believe investors focus on non-GAAP financial measures in comparing results between periods and among our peer companies that publish similar non-GAAP measures. Please see yesterday evening's Form 6-K, our earnings release, and the investor section of our website at tat-technologies.com for a reconciliation of non-GAAP financial measures to GAAP measures. Non-GAAP financial information should not be considered in isolation from or as a substitute for or superior to GAAP financial information, but is included because management believes it provides meaningful information about the financial performance of our business and is useful to investors for informational and comparative purposes. The non-GAAP financial measures that we use have limitations and may differ from those used by other companies. Now with all of that said, I would like to turn the call over to Yigal Zamir.
Yigal Zamir: Good morning, everybody, and thanks for joining us for the first quarter earnings calls. I really appreciate your interest and the support as we review the company's performance and discuss our strategic direction moving forward. As you probably see, we started 2025 on a strong note delivering another quarter of double-digit revenue growth with the profitability growing even faster than the revenue, reinforcing the momentum established last year or, actually, I would say, in the last three years. Our focus on customer operation excellence, market expansion, and strategic growth continue to drive results that are ahead of the industry average. We expect to continue and outpace the industry for the foreseeable future. First quarter revenue increased by 23.6% to $42.1 million, up from $34.1 million in the same period last year. This growth was fueled by strong demand across our core business lines, along with... Gentlemen, I just want to check that you still hear me. We have a [indiscernible]
Ehud Ben Yair: Yeah. We heard you, but there was a little pause.
Operator: You are back online now, Yigal. So please speak.
Yigal Zamir: I apologize for this. We had, like, a power shutdown here. Our gross profit increased from 40.9% to $10 million, with the gross margin expanding by 290 basis points to 23.6% compared to the 20.7% in the first quarter of 2024. This improvement reflects our ongoing efforts to optimize cost structure, improve operational efficiencies, and enhance product mix. We spend a lot of time talking about it in the previous calls. We are continuing to invest a lot of effort and energy in improving internal efficiencies and cost structure, which reflects in the results. Adjusted EBITDA increased by 56.2% to $5.7 million, translating to an adjusted EBITDA margin of 13.6%, a notable improvement from our 10.8% in the same period last year. This improvement is a testament to our disciplined expense management. Our backlog and long-term agreement rose to $439 million during the first quarter, providing us with strong visibility. It also provides us with an important runway for continued growth. I mean, the rapidly evolving aviation market landscape in most commercial and government end markets. The aviation sector is currently navigating several macroeconomic headwinds, including policy changes, proposed tariffs, and broader economic uncertainties, all of which have the potential to impact supply chain and customer purchase backlog position as well as our ability to outperform the industry. And, you know, while in parallel, we expect we can anticipate some near-term volatility, particularly in the MRO intake. So bottom line, we look at the outlook, given the backlog, given the value of long-term agreements that we are signing and increasing all the time, have a very positive outlook on the long term. Short term, given all the macroeconomic factors, we can expect both volatility from the industry. The expansion of our APU will continue to grow our addressable market. We are now authorized on the APU 131, APU 331-500, which sold the Boeing 777 and Boeing 737 and Airbus 320. Only a year ago, we secured our first customer for these engines, and since then, we have onboarded several additional customers, both new and long-standing. We are well-positioned as a trusted and reliable partner for serving various annual APUs with top-tier quality and exceptional service. Our pipeline of opportunities for APU continues to expand, and we are participating in multiple discussions to expand our APU work. To meet this growing demand, we strategically increased our inventory levels during the quarter. While supply chain issues persist, maintaining a higher inventory level positions us to meet timeliness and reliability. This approach is not just a safeguard; it's a strategic decision and strategic asset that we believe enables us to maintain our competitive advantage and continue market growth. As a result, we recorded a net cash outflow in the quarter. However, we are confident that this investment will drive revenue growth and enhance customer satisfaction in the coming quarters, positioning us for continued success. Our growth strategy is based on growing our MRO and OEM business, as well as our trading division. This diversified approach provides us with the agility and operational flexibility needed to navigate periods of economic uncertainty. Given the ongoing tariffs uncertainty, our supply chain team is working closely with our suppliers and customers to align expectations, adjust planning, and maintain a high service level that our partners rely on. In summary, we are concluding a strong quarter and are optimistic about our prospects for the remainder of 2025. In the short term, we will continue to navigate the variety of industry-wide challenges. The supply chain remains challenged. Economic uncertainty sometimes causes customers to slow down maintenance plans. To date, we have weathered these challenges successfully. Long term, my optimism has increased even though my short-term outlook is somewhat cautious. We see encouraging demand for our products and services, strong interest from both new and existing customers, and the potential to achieve long-term growth rates that significantly outpace the broader industry, all while continuing to expand margin. Thank you very much. And with that, I will turn to our CFO, Ehud Ben Yair, to provide further insights into our financial performance and business outlook.
Ehud Ben Yair: Thank you, Yigal. Good morning, everybody. I will quickly review the results of the first quarter of 2025. So revenue went up to $42.1 million compared to $34.1 million. It's an increase of 24% year over year. Gross profit landed at $10 million compared to $7.1 million. It's a 41% increase compared to the previous period. And also the gross margin went up to 23.6% compared to 20.7%. It's a 290 basis points compared to the previous quarter. Operating profit at $4.2 million compared to $2.2 million. It's an 89% increase, and the operating margin is already at 9.9% compared to 6.5% in the previous period. Also, the adjusted EBITDA went up to $5.7 million compared to $3.7 million. It's a 56% increase, and the EBITDA margin went up to 13.6% compared to 10.8% in the previous period. Net profits landed at $3.8 million compared to $2.1 million. Several insights to take into consideration when analyzing the results of the quarter. Again, we are improving our margins all over the place. Especially in this quarter, OEM revenue and margin went up compared to the previous period. On behalf of the MRO work, we still suffer a lot of supply chain issues in the market, which led in some cases to a slight reduction in profitability. Nonetheless, on the overall company size, we are continuing to improve our margin. Second thing that impacts the net profit, and we mentioned it in the previous quarters already, is the tax expenses. At this stage, all the tax expenses are accounting expenses; these are non-cash expenses, mainly reduction of tax assets. As mentioned before, we are expecting to be tax profitable and start paying taxes both in Israel and in the US at the end of 2025. In terms of the strategic growth engines and the product mix of the quarter, the heat exchange product line went up to $18.4 million compared to $14.2 million. It's a 30% increase year over year. The APU segment also from $9.2 million to $12.3 million. It's a 34% increase. The trading and leasing, as mentioned before, are down by 27% to $2.1 million. We mentioned in the past that trading and leasing are in some cases opportunistic and in some cases really based on the specific need of the customers, and it can vary between quarters. In this quarter, a certain deal was postponed to Q2, and that is the reason that you see the reduction in the trading and leasing in Q1 of 2025. And the landing gear, as again, as mentioned in the past, started ticking up at the end of Q4 and continued, landing at $3.3 million compared to $1.5 million in the previous quarter. It's a 127% increase. So just to quickly review, the tool is trending. You will see that, again, we continue to grow the margin. Just looking at the first quarter of 2023, revenue was at $25.2 million. Now we are already at $42.1 million. The gross profit also started at $4.3 million in the first quarter of 2023 and moved up to $7.1 million in Q1 of 2024, and we are already at $10 million in the first quarter of 2025. The same trend goes with the operating income that went up from almost $1 million in Q1 of 2023 to $2.2 million in Q1 of 2024 and $4.2 million in Q1 of 2025, almost doubling our operating income year after year. With regards to the backlog, as you already mentioned, we continue to increase our backlog. We saw a very strong trend in Q1 of 2025. We secured backlog and orders and LTAs worth $52 million this quarter, which led to an increase in the total backlog value to $439 million. With regards to the mix of the product, it remained pretty much the same as in the previous quarter. More than 50%, actually, 54% of the backlog and orders is heat exchangers, APU is 27%, and the remaining most of the remaining landing gear, which is 13%. And by this, I return the call to Yigal Zamir.
Yigal Zamir: So as we said it before, when we look forward strategically, you know, we have the same growth engines that we discussed in the past. This is why I said it earlier that we are extremely optimistic about the long-term outlook for the company. Starting with the APUs, over $2 billion addressable market. We are proving more and more our ability to provide great service and fast turnaround time and competitive pricing to customers, and we are basically just starting to scratch the surface of this huge addressable market. With the amount of interest that we are getting and the active RFPs that we are participating in, we believe that that's a substantial growth engine for the next few years. The landing gear MRO cycle, as anticipated, we already see it. It's coming. We see very nice growth in landing gear work and expect it to continue. The thermal solution MRO, TAT is the leading player in the industry. The largest players, especially on the MRO side, we are cost-effective. We are providing amazing service to our customers way better than most of the competitors and expect to continue and grow this business as a result. Thermal solution OEMs, the outlook for new aircraft, fleet conversions, all the next-generation aircraft, Evotel, whatever, represents a long-term strategic opportunity for the 48K. And trading and leasing, while trading and leasing and now it's touching it. Two components. We have the leasing activity, which is more stable month by month, with major demand for our product. On the leasing side, it provides a general steady flow of revenue and profitability. And then you have the trading side that is more based on the availability of components, engines, gears, and such, and specific demands from airlines. So while it's not as consistent as our ongoing business, it is growing and there is a lot of demand. As we increase the amount of assets that we can afford to keep for these deals, we will be exposed to more and more deals and growing business with a very nice margin.
Ehud Ben Yair: Just before going to the Q&A, we detected some technical issues during the call. So if someone from the audience did not hear something well, we would be happy to repeat whatever was missing during the pitch. Can I move to Matt for the Q&A session?
Operator: Okay. Thank you very much. We are now going to move to the Q&A session. To ask a question, please use the Q&A widget at the bottom of your screens. Just note, if we do run into a time constraint, someone from the IR team will get back to you if your question is not asked on today's call. We already see that some questions are coming in, and with that, let's pause for a moment to build the queue further. The first question is from Josh Sullivan at Benchmark. Thank you, Josh.
Josh Sullivan: Congratulations on the quarter. Can you explore backward incremental sequentially this quarter a little bit further, provide some color on the increase? Was it driven by, you know, repeat customers versus new relationships? And then how are new APU relationships and orders evolving? Yigal, did that come through to you? Yigal, we are not hearing your answer. You may be on mute.
Yigal Zamir: Benjamin, can you hear me now?
Operator: Now we can hear you. Please proceed, Yigal.
Yigal Zamir: We have some kind... just one second, Matt. Really apologize for all of this. We have a major issue, some kind of an issue here with the network. So I reconnected via hotspot to my iPhone. I hope that you can hear us well now. And, Matt, please repeat the question.
Operator: Oh, great. Let's go forward. So the first question was from Josh Sullivan at Benchmark. Josh is asking if we could go into further detail on the incremental backlog sequentially this quarter, talking about some of the reasons for the increase sequentially, whether it was driven by repeat customers versus new relationships, and then how our APU relationships and orders are evolving.
Yigal Zamir: So two things. First of all, it's a combination of existing customers and new customers. We want, and we stated it in the past, you know, when we win, we come with the official announcement only when we have substantial wins, but we are all the time winning more, and that is less meaningful for a standalone, you know, PR. But we are adding new customers, and it's both across the business lines. It's APUs, landing gear, and thermal components. So in reality, it's a combination between new and existing and between the various business lines. Nothing unique that stands out more than others.
Operator: Great. Let's shift over to profitability. Josh is asking about the margin improvement. How much of that improvement in margins is pricing versus operational actions that you have taken to drive efficiencies throughout the organization?
Yigal Zamir: I do not think that it has anything to do with pricing. It's mostly operational efficiencies. And, obviously, there is always some level of mix of products that we do not control. It is what it is, whatever we get. But we have major initiatives around improving profitability, and we stated in the past that we believe that a company like TAT Technologies Ltd. needs to be at a 25% gross margin at least, at the 25% gross margin and 15% EBITDA. And this is definitely where we want to be in the future, and we are very committed to getting there and investing a lot of time and energy in it. So again, it's mostly operational efficiencies, nothing to do with pricing changes.
Operator: Okay. Great. Here's an additional question around supply chain. From where you are sitting, what are you seeing in terms of the supply chain at this point? And what are you doing to manage that with your customers?
Yigal Zamir: So first of all, supply chain, it's an ever-evolving situation. You know, on a very high-level macro trend, I personally believe that the industry is in a recovery mode. But still, every time suppliers, we wake up to surprises from suppliers, business lines that were already stabilized and we thought that everything is okay. And all of a sudden, deliveries are being pushed sometimes in months with no expectation, with no advanced warning. So the overall trend is, I think, that the overall trend is positive and the industry is on a recovery mode. But it's still extremely volatile, with ups and downs, and it's not consistent across business lines. So the only thing that we can do, this is why and we are doing it strategically, is to increase inventories.
Ehud Ben Yair: And you see it in our numbers. I believe that the companies that will be able to overcome the supply chain challenges first will enjoy the growth. I think that part of the reason that we are growing is that we are providing great service to our customers. Across the business line, when you think about turnaround times that we are demonstrating to our customers on the MRO side, way better than what we hear that competitors are providing. This is a critical strategic advantage for the growth of the company. It comes with the cost of inventory and turning cash into inventory versus cash in the bank. But that's what we are doing, and we plan to continue until such day in the future where the industry will really be more stabilized.
Operator: We did have an investor question asking about your current capacity. How does that serve your medium-term growth outlook? But I think you just addressed that in your most recent response.
Yigal Zamir: Yeah. Maybe, but Matt, just to add to it, and we spoke about it in the past. From a technology standpoint, equipment, and everything, we are well-positioned to more than double the capacity. So obviously, the bottleneck is supply chain and having the parts. We are overcoming it by strategic purchase of inventory where needed. From a facility standpoint, equipment and everything else, we are, with all the investments that we have done over the last five years, we are well-positioned to, if I have to guess, at least double the capacity.
Operator: Okay. Let's shift to taxes. We have a question from Sergey Lanyev from Freedom. He is asking how should we think about your tax provision for the second quarter and the remaining part of the year as you have started to recognize non-cash items in Q1. Is that clear, right, Ehud?
Ehud Ben Yair: Yes. That's clear. Thank you for the question. I think what we are going to see until the end of the year is the average tax expenses that you see right now out of the net profit will continue to stay around the same level. There's a mix of different taxes between Israel and the US, but we believe that the profitability between Israel and the US is going to continue the same until the end of the year. So we can assume the same tax rate for the following quarters. As I mentioned before, and I'm emphasizing it again, these are just non-cash tax expenses until Q3. And by Q4, it's going to become tax expenses which are followed by cash.
Operator: Sergey is also following up with a question around our opportunity with defense customers in light of the current budgetary landscape, particularly in the United States. So can you comment on the opportunities for growth within the government of defense market?
Yigal Zamir: I think that, by the way, yesterday, we had an internal meeting with asking us the same questions. The opportunities, it's a good point. The opportunities are definitely there, and the budgets are in place. We do not see any quick turnaround here from strategic decisions on the government side into immediate buying decisions. There are solicitations that are being opened by the Air Force or Navy or Army in the US from time to time. It's more based on schedule in our case for TAT Technologies Ltd. So I'm not expecting any immediate reaction or substantial growth. Having said this, we have our defense sales team dedicated to selling to the US Armed Forces. And, you know, hoping being in close contact with the buying offices and looking forward to RFPs to solicitations to get open so we can bid on them. So I believe that strategically, this segment is growing and needs to continue and grow. Nothing that can be reported short term.
Operator: Okay. There's another growth-oriented question here. One is around, you know, we highlighted a few logos in the Global Logistics sector with the FedEx's, UPS's, and DHL's of the world as customers. And so, you know, there's a specific question around, you know, APU revenue opportunity with these customers. But, you know, there's also a question in here around, in general, the pipeline for APU 131. You know, perhaps if you can talk to those opportunities.
Yigal Zamir: First of all, when it comes to UPS, FedEx, and DHL, they are existing customers. We have great relationships with the three entities, and we have some opportunities to grow within their product lines. It depends on when their existing contract will come to term, and then they will open them to RFPs. And we are definitely in a great position to secure more business from them based on the success over the last few years. When you look at the overall potential for the APUs, the commercial market is the biggest opportunity. And, basically, today, almost any airline in the world is a potential customer of TAT Technologies Ltd. Airlines are typically on three to five-year agreements, and when the agreement comes to term, unless they have a major problem, they do not change vendors in the middle of a term. Even if they are struggling, they get to the end of the term. They open up RFPs. We are participating in a lot of RFPs. And I believe, you know, if you remember, in 2024, we deliberately decided to wait with participating in RFPs because we did not feel confident enough to secure long-term. And at the end of 2024, we mentioned in conference calls that we feel more confident with the fact that we are gaining experience and improving the operations and efficiency and being ready. In 2025, we are going to participate in large RFPs, which we do. There is a very nice funnel of opportunities. And I believe that it's just going to grow. I call it a positive snowball effect. You start slow and small, and then you gain and you win. And with the wins, the awareness of the company is becoming, and we are positioning ourselves. I think that we are slowly but surely positioning ourselves as a key player in this segment, which will bring more and more customers to consider us in a serious way as their future vendor. And the numbers are huge. We are talking about 131 engines. We are talking about more than, I do not know, between 16,000 to 18,000 engines that are flying today that are in use today around the world.
Operator: Great. Appreciate it. I think that answers that. On the landing gear opportunity, Josh Sullivan is asking where we are at in that cycle. How should we expect it to ramp up? Or what early signs should we look for either externally or internally to evaluate your performance?
Yigal Zamir: Well, you are already seeing the results in the landing gear increased. It's more than doubled. And we just started. The big cycle starts this year and will peak in the next three years, 2026 to 2028. You know, if you look at announcements made by the OEM, there is not enough capacity to support in the industry to support a 2026 to 2028 demand. So when they are combining all the vendors that, like us, have the ability to support where there is a lack of capacity. So we hope that we and believe that we are going to see a very nice increase.
Operator: Question is from an investor. When do you expect the redomicile process to be completed?
Yigal Zamir: What? Can you please repeat the question?
Ehud Ben Yair: Do you expect the redomicile process to complete?
Operator: Perhaps that's not a great question. We would need a clarification on the question.
Yigal Zamir: Okay. Well, let's see. From an operational standpoint, we are based in the US. The management is in the US, our headquarters is in Charlotte, we operate like most of the customers and most of the vast majority of the employees are in the US. So if you look at the registration aside, if you just look from an operation and management standpoint, we are a US company today. I do not know if that was the question or whether there was another. Obviously, we have a very strong business in Israel that is doing great, and we are definitely planning to continue and develop, but the company is based in the US. And I do not know if it answered the question or not.
Operator: Yeah. Let me prompt others to submit questions. We will now pause to evaluate the queue.
Ehud Ben Yair: Hey.
Operator: Ehud, I believe we are at a good point here for me to turn the call back over to you.
Yigal Zamir: Maybe just to summarize, we are really pleased with the results. Another quarter of continuing improvement in all aspects of the business. And, you know, when we look strategically, when we look at the company long term, we are very optimistic about the opportunities and the growing demand and the amount of RFPs and bids that we are participating in to continue to grow the company. I'm really proud of our team and the ability to overcome many of the supply chain challenges and others. We are not using it as an excuse, but rather we are using it as a springboard to show the industry and our customers that we are providing better service and much, much faster turnaround times, which really helps our customers. So the outlook is strong on the strategic base. Obviously, we did a great job in Q1 overcoming the short-term headwinds and some short-term challenges and concerns in the industry. And we continue to do it. So all in all, the company is in the right direction and executing our plans. And, you know, wanted to use the opportunity and just thank everybody for joining us today and for showing confidence in us and in the company. And appreciate the partnership and looking forward to continuing working together.
Operator: Thank you, Yigal. This concludes the earnings call. You may now disconnect your lines. Thank you.
Ehud Ben Yair: Thank you.